Operator: Good morning, ladies and gentlemen, and welcome to Dominion's Fourth Quarter Earnings Conference Call. We now have Mr. Tom Farrell, Dominion's Chief Executive Officer and other members of management in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of managements prepared remarks, we will open the floor for questions. At that time, instructions will be given as the procedure to follow should you want to ask a question. Before introducing Tom Farrell, I will turn the call over to Laura Kottkamp, Director of Investor Relations.
Laura E Kottkamp - Director, Investor Relations: Thanks Lindsey. Good morning and welcome to Dominion's fourth quarter earnings conference call. During this call, we will refer to certain schedules included in this morning's earnings release, pages from our fourth quarter 2007 earnings release kit or pages from our 2008 earnings guidance kit. Schedules in our earnings release kit are intended to answer the more detailed discreet questions pertaining to operating statistics and accounting. Investor Relations will be available after the call for any clarification of these schedules. While we encourage to you call with questions in the time permitted after our prepared remarks, we ask that you use the time to address questions of a strategic nature or those related to 2008 guidance. If you have not done so, I encourage you to visit our web site, register for email alerts and view our fourth quarter 2007 earnings documents as well as our 2008 guidance kit. Our website address is www.dom.com/investors. Now for the usual cautionary language. The earnings release and other matters that will be discussed on the call today may contain forward-looking statements and estimates that are subject to various risks and uncertainties. Please refer to our SEC filing, including our most recent Annual Report on Form 10-K and Quarterly Report on Form 10-Q for discussion of factors that may cause results to differ from management's projections, forecast, estimates, and expectations. Also on this call, we will discuss some measures about our company's performance that differ from those recognized by GAAP. Those measures include operating earnings before interest and tax, commonly referred to as EBIT, and operating earnings before interest, taxes, depreciation and amortization or EBITDA. Reconciliations of such measures to the most directly comparable GAAP financial measures we are able to calculate and report are contained in our earnings guidance kit. I will now turn the call over to our Chairman, President, and CEO, Tom Farrell. Tom?
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Thank you Laura and good morning everyone. Today, I'm going to highlight the key strategic actions and operational performance from 2007. It will positively affect our performance in 2008 and beyond. Addressed the status of our intended handed Peoples Hope divestiture and review expected regulatory developments in 2008. Our call will then deviate from past practice. Tom Chewning will recap our 2007 results, provide our 2008 guidance, and discuss our marketing process for Peoples and Hope. We will also have each of the business unit’s CEOs to discuss the drivers influencing their 2008 earnings prospects and contributing to our overall growth. On this topic you will hear from Jay Johnson, Head of Dominion Virginia Power; Paul Koonce, Head of Dominion Energy; and Mark McGettrick, Head of Dominion Generation. Scott Hetzer, our Treasurer will then discuss our expected financing activities in the coming year. Tom Chewning will then conclude our prepared remarks with comments about 2009 and our dividend policy. 2007 contained a number of milestones that we believe will have a positive impact on the Dominion in the immediate and continued future. With the sale of nearly $14 billion of our non- Appalachian E&P assets, we divested approximately 40% of our earnings stream and returned to a more regulated energy infrastructure company, one that is much less sensitive to the volatility of commodity prices and one that has more stable earnings. In light of this changed profile, in our outlook for future growth, we used the proceeds for debt repayment and stock repurchases. We realigned our remaining business segments. We significantly increased our dividend, and we completed a two-for-one stock split. Additionally, we saw the Virginia legislature established new regulations for utilities to address the growing need for power in the state and set new parameters and to ensure a fair rate of return on base rates as well as certain critical construction projects that will help meet the growing energy needs in our state. Last year, Dominion began an earnest to help make Virginia less reliant on imported power in more energy independent. We have already received approval for two of our three Lady Smith peaking units, and they are expected to be in service in the second half of this year. Approval for the third peaker is pending at the state corporation commission. We had no interveners in that proceeding. We also submitted an application for a coal and biomass plant in the heart of Virginia’s coal county in Wise County. In November, we received an early site permit for our North Anna nuclear plant and submitted our combined operating license, actions to give us optionality to build an additional unit at that site. Just yesterday, the NRC accepted the application has complete. In December, we agreed to purchase a power station development project for a combined cycle gas-fired plant that will generate almost 600 megawatts in the central part of the state. We also filed with the state corporation commission for three new electric transmission lines and are waiting approval this year. Overall, we are on track to develop the additional Virginian infrastructure we laid out to the investment community last September. Beyond Virginia's borders, throughout the Mid-Atlantic and Northeast, we similarly outlined plans to ensure an adequate future response to rising gas and electric demand. We concluded successful open seasons for our Dominion Hub I, Hub II, and Hub III projects, which allow us to bring increased gas supplies from West to East. And we announced plans for an eight cavern salt storage project in Pennsylvania to increase our gas storage capacity by up to 50 billion cubic feet, an increase in storage capacity of 10% to 15% with an increase in the deliverability of nearly 100%. Perhaps most critical to meeting customers and investors expectations, this consistent focus on operational excellence and safety. Strong performance also provides us an opportunity to earn up to a 100 basis points ROE premium on our Virginia rate base. At Dominion Virginia power for example, our average speed in answering customer’s calls improved nearly 30% last year. We met the new record peak demand of 19,688 megawatts in August, an increase of over 300 megawatts from the peak set in 2006 and a record demand, we did not expect to see until 2009. At Dominion East, Ohio, we installed over 130,000 automated meters, bringing our total to over 10% of customers served. In Appalachia, we drilled 365 new wells, an increase of more than 20% over 2006, a year in which we had been the most active driller in West Virginia. Our generating facilities met growing demand in Virginia and across our merchant fleet with increased reliability and output. Our Fossil merchant coal fleet achieved an equivalent availability of 87.4%, its best annual performance since the acquisition of Dominion New England with Brayton Point setting a station record of 90%. Our Surry nuclear units were online for a record 286 consecutive days. In our nuclear merchant fleet produced its highest megawatt hour output ever, 21 million laid by Kewaunee and Millstone II. Both Kewaunee and Brayton Point produced more megawatt hours in 2007, that at any time in their entire history of operations. Looking ahead, Dominion plans to achieve the goal of 12% of energy sales from renewable energy sources by 2022, as well as the interim goals of 4% beginning in 2010, and 7% beginning in 2016 established in Virginia Law. Achieving these targets will allow us to receive a ROE premium of 50 basis points across our entire rate base. We also plan to meet North Carolina’s mandatory goal of 12.5% from renewable resources and energy efficiency by 2021. This year with our partner Shell Wind Energy, we expect to put in service the second phase of a 264 MW wind farm in West Virginia, located adjacent to our Mount Storm power station. Just last week we announced Fowler Ridge, the wind energy development project in Indiana where we will be a 50% equity partner of 650 MW with BP Alternative Energy. The first phase is expected to be operational by the end of this year. I have recounted many of the corner stones of an impressive year for us, but there were events which did not happen as we had planned. Foremost was the dissolution of our sales agreement with Equitable for our LDC’s Peoples and Hope. While we expected a favorable resolution throughout the process, we believed, as did Equitable that the delay in closing exceeded what we deemed reasonable. For this reason we are re-marketing the LDCs which Tom Chewning will discuss in a few minutes. Turning to 2008. We expect ruling on several key regulatory proceedings and the outcome of the electric capacity market options in New England and PJM. February 5, we begin the evidenciary hearing for our Virginia City hybrid energy center. In December we filed a revised cost estimate for the plant, estimating $200 million of additional capital, bringing the total estimate to $1.8 billion. We expect the commission to rule on our filing and establish a ROE, including a construction premium for the project in April. As you are aware, the ruling on this project’s ROE does not determine the ROE for our base rate case in 2009. We do believe, however, that it sets an important precedent for what criteria are considered. This past August, Dominion East, Ohio filed its first rate case in over 14 years. We applied for a base rate increase of $73 million. We expect the staff report in late February or early March. Based on orders issued in other proceedings, we are optimistic we will have a rate environment in place this year that recognizes our existing rate base and enables us to make future investments with bare steel pipe, service lines and automated meters with fair returns. Just recently a pipeline unit proactively entered into a settlement with the independent Oil & Gas Association, a new gathering and processing rates effective January 1, 2009 through year-end of 2011. The settlement is net natural to our earnings forecast. This agreement is keeping with our past practice of settling rate issues before current rates expire, thereby providing certainty to both Dominion and its customers. Two of our proposed new transmission lines, Carson to Suffolk and Hampton Roads and Meadow Brook-To-Loudoun in Northern Virginia, are scheduled to have evidentiary hearings February 5 and February 25 respectively with the approval process expected to continue through the fall of this year. If approved in a timely these lines should be in service in 2011. This year, we also learn about the next round of capacity auction pricing in PJM and New England. Most important thing we can do to prepare for the auctions is to operate optimally in order to ensure plants will be available when they have been promised. PJM implemented its reliability pricing model beginning this past June, and the final transition year auction was held just last week for the 2010/11 delivery year. The results will be published on Friday. New England’s first forward capacity market auction is scheduled to start this coming Monday to procure capacity for the 2010/11 commitment year and will end no later than next Friday, February 8. The second FCM auction, which will procure capacity for the 2011/12 commitment year is scheduled to start on December 1. There has been large response to the upcoming action in New England, including the introduction of over 3,000 megawatts of demand side management proposals. While we are highly skeptical that demand side efforts will produce a nearly 10% reduction in New England’s peak electrical usage in two years. We believe that as a result of these promises, prices will clear lower than many may expect in the 2010/11 capacity auction. Since last fall, our 6% or more annual operating earnings growth plan as assumed that the capacity price will clear at the floor of $4.50 a KW month. I am pleased with where we have come since this time last year, we have a full agenda to accomplish, but I am confident that we will continue to perform at the levels required to meet our commitments to our customers and financial guidance to our shareholders. With that, I will turn the call over to Tom Chewning
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: Thanks Tom. Tom mentioned that 2007 was marked with many positive milestones from a CFO perspective that seems an understatement. The overall change in our business mix resulted in a forecasted 2008 operating earnings at the upper end of the pro forma we developed in October of 2006 before we announced our E&P divestiture process. Now that we have completed our business in management realignment, we will provide quarterly and annual earnings guidance in greater detail. We have formatted our guidance to illustrate how operating segments expect to grow their profit margins and how treasury expects to finance their growth. We believe this approach promotes simplicity and enhances granularity. 2008 will be the starting point for a number of uplifts. Within our first full year with the fuel pass through in Virginia. We will have a lower debt level on which to pay interest expenses going forward and we will realize higher capacity in energy prices in New England than we did in 2007. As a result we're able to provide operating earnings guidance of $3.05 to $3.15 per share for the full year of 2008, nearly 20% growth over our 2007 operating earnings. We are also providing operating earnings guidance of $0.89 to $0.94 per share for the first quarter of 2008. Before we get too far into 2008 guidance let me recap briefly our results for last year. For the fourth quarter and the entire year of 2007, the company delivered solid returns lead by strong merchant energy margins and strong regulated electric sales. Interest expense savings resulting from our debt retirements and share accretion due to our common stock repurchases. We recorded operating earnings of $0.52 for the quarter and $2.56 per share for the year. GAAP earnings for the quarter were also $0.52 while GAAP earnings for the year were $3.88 per share mainly attributable to the net gains from the sale of our non-Appalachian E&P businesses. You can refer to schedules two and three of our earnings release kit for reconciliation of these earnings. You will notice on schedule one of our earnings release kit that we've broken out both our non-Appalachian E&P and the People’s and Hope LDC earnings in our corporate segment. As you'll recall Peoples and Hope are classified as assets held for sale not as discontinued operations. Following determination of the sales agreement with Equitable, we will continue to report earnings in the corporate segment until the conclusion of the new sales transactions. We still plan to use the incoming proceeds for debt reduction. The rating agencies are aware of the delay in the receipt of these proceeds. Depending on how long the new sales process takes we may choose to replace bank bridge financings with the capital markets issue that would be callable at the time of the sales. It is our plan to conduct and auctions process in March and we anticipate the announcement of a winning bidder and negotiate a contract in April. Before I turn the call over to our CEO, I refer you to 2008 earnings guidance kit on our web site. As we detail each of our businesses drivers we refer you to the appropriate page of the kit as it relates to our operating segments, I remind you that our operating earnings guidance measures will be stated in terms of EBIT or in some cases EBITDA. At the conclusion of the CEO’s discussion, Scott Hetzer will discuss the plans to finance our growth going forward. I’ll now turn the call over to Jay Johnson CEO of the Dominion Virginia Power. Jay?
Jay L. Johnson - Chief Executive Officer, Dominion Virginia Power: Thank you, Tom. Dominion Virginia Power, which includes regulated electric transmission and distribution as well as our own regulated retail activities, is expected to contribute approximately 21% to Dominion's 2008 operating segment earnings. As shown on page eight in the earnings guidance kit, its forecasted 2008 contribution to EBIT is roughly flat compared to 2007. In our electric utility distribution and transmission businesses, we expect weather normalized sales to add $10 million to $15 million. However, in 2007 favorable utility weather benefited us by about $11 million. Our forecast incorporates the usual assumption of a return to normal weather. So, the $11 million is an offset to our sales growth. DD&A in our utility business is expected to increase approximately $16 million year-over-year. This is a result of growing investment in infrastructure to serve the demand in our robust Virginia service territory. Despite the slowdown in the housing market, we still hooked up just shy of 49,000 new homes and businesses in 2007. Our 2008 distribution plan includes targeted investments in customer service and reliability. These investments should enable us to capture performance incentives above base rate ROEs established in the new regulation. Also included in our distribution plan for 2008 is funding for recently approved demand site management and conservation pilots which support the governor’s comprehensive Virginia energy plan. In Electric Transmission, we are awaiting the outcome of the FERC rate case filed this past fall. Under that filling, our transmission rates would be projected on a formula basis with a fixed ROE. The formula rate will be designed to cover the expected cost of service for each calendar year and will trued up based on actual costs. This enables us to minimize regulatory lag .We expect the FERC to take further action on this filing by the 1 of April. A favorable outcome will facilitate our plan to modernize our infrastructure in order meet the growing energy needs. Several companies including Xcel Energy have recently gotten forward-looking formula rigs approved. Dominion Retail, our unregulated, low capital, low risk business, has contributed over $140 million to EBIT over each of the last two years. We expect the slight downturn in EBIT due to lower electric customer margins assumed in our 2008 plan versus what was achieved in 2007. Over the 11 years that we have been growing this business, we have leveraged the Dominion brand to build a base of 1.6 million customers. We have also strategically identified markets that have unbundled generation or that have consciously developed competitive market designs. The 150,000 customers were now serving in Massachusetts and Connecticut are evidence of this strategy. In 2008, we plan to use these competitive advantages to continue to grow our customer base. Along with our core markets of Ohio, Pennsylvania, and Virginia, we are targeting further expansion into the Northeast markets of Massachusetts, Connecticut, New York, and Maryland. Overall, I would characterize 2008 as a foundational year for future growth in our regulated business… businesses as the price cap period ends. And with that, I’ll turn it over to Paul Koonce. Paul?
Paul D. Koonce - Chief Executive Officer, Transmission: Thanks, Jay, and good morning. Dominion Energy which includes gas transmission, Dominion East Ohio, exploration and production and producer services is expected to contribute approximately 23% to Dominion's overall 2008 operating segment earnings. Collectively, these businesses are expected to produce EBIT growth of 16% in 2008 as shown on page nine of the earnings guidance kit. Separately, our gas transmission unit forecast EBIT growth of 7%. This growth is the result of a full year’s revenue related to our Northeast storage and Cove point ASU projects, and starting in November the Cove Point expansion projects. Also in gas transmission, we forecast another record year of gathering processing and extraction volumes and revenues. These revenues are approximately 80% hedged giving us confidence in our growth. We are also very pleased with the progress we are making in our Dominion East Ohio rate case. With a midyear implementation of new rates, we expect Dominion East Ohio’s 2008 EBIT to grow 10% over 2007. And finally, our E&P team is forecasting production growth of 16%. This will be achieved through a combination of development drilling plus an added emphasis on optimizing existing well deliverability. Adding to the production boost is an increase in average realized price of $1.63 per Mcf. These figures are available on pages 14 and 15 of the guidance kit. I am pleased with our year-over-year earnings growth forecast and now I’ll turn the call over to Mark McGettrick.
Mark F. McGettrick - Executive Vice President, Dominion Generation: Thank you, Paul. Dominion Generation includes the Company’s regulated and unregulated generating plants and is expected to contribute 56% of the total operating segment earnings in 2008. As I review guidance for my segment I will be referring to page 10 in the earnings guidance kit and on that page you will see that Dominion Generation’s forecasted EBIT is expected to grow over 30% to approximately $2 billion in 2008. Much of this projected growth is coming from the regulated utility generation that serves our Virginia and North Carolina franchise service territories. In 2008, we expect this business to grow at EBIT contribution by $260 million to $300 million, which represents more than 40% growth over 2007. The primary driver for utility growth in 2008, is a benefit of $394 million resulting from a full year recovery of fuel expenses in Virginia. Additional benefits are projected to come from sales growth and fewer planned outage days in 2008, compared to 2007. Partially offsetting these positive items are a return to normal weather, increases in non-outage O&M and depreciation expenses, as well as other items which include an expected reduction in margins for 2008 and going forward, for FTRs, ancillary service revenues and wholesale contract revenues relative to 2007 levels. We also expect continued strong growth at our merchant generation business which is expected to produce EBIT in the range of $1.1 billion in 2008, which is more than 20% growth over 2007. Now that we are disclosing our merchant EBIT contribution, we believe that investors can appreciate more just how large, profitable and growing our merchant fleet is. For 2008, we expect a $160 million to $185 million worth of growth in EBITDA from our NEPOOL assets driven by high energy prices, and increased capacity revenues as detailed on pages 19 and 21 in the earnings guidance kit. This growth overcomes an additional plant refueling outage at Millstone and an extended outage for recovery out of Salem harbor station. Our non-contracted plants in PJM which includes our Fairless Works and State Line facilities are expected to increase the EBITDA contribution in 2008, by $80 million to $90 million. The primary driver to this increase is the buyout of a long term PPA at State Line which was effective October 31, of 2007. 2008 EBITDA from the contracted plants which include our Kincaid, Kewaunee, Elwood, and Morgantown facilities is expected to decline, $40 million to $50 million driven mainly by a planned refueling outage at our Kewaunee nuclear plant and to buyout a State Line which would remove that station from the contracted category going forward. In addition to providing our merchant EBITDA profitability by region, and contract status, various schedules have been added or expanded in the guidance kit with additional disclosure on merchant statistics. We believe this additional information provides you with a clarity investors need to fully appreciate the value of our merchant assets. With that I will turn the call over to Scott Hetzer
Scott Hetzer - Senior Vice President and Treasurer: Thanks Mark. Before I focus on our financial plans to support the business units growth you just heard about, let me make a few quick remarks regarding 2007. As Tom Chewning has already mentioned, the recapitalization of our balance sheet as a result of our E&P divestiture was a significant part of our transformational year. Of the proceeds we received from the sale, we used $6.3 billion to buyback stock, and $3.3 billion to buyback and or retire debt. On our November 1, earnings call, we talked about incendiary use of another $300 million to either buyback stock or reduce debt further. Given the delay in reducing debt levels with approach proceeds from the sale of Peoples and Hope, we have applied for $300 million to reduce our commercial paper borrowings. We are also very pleased with our reduced risk profile going forward and we are pleased to see S&P acknowledge this, when they upgraded our rating two notches from mid BBB to A minus. Now turning to 2008. The capital necessary to execute our business plan this year is expected to be $3.7 billion and you will see a breakdown between maintenance and growth capital on page 23 of our earnings guidance kit. Our operating cash flow more than covers our maintenance capital and dividend, but when you add in growth capital, we will have negative free cash flow. You have heard us say many times, that we plan to fund any negative free cash flow with a combination of debt and equity. When we are determining the balance between debt and equity, our decisions are driven by our targeted credit metrics, which include the typical adjustments made by credit analysts. In our three year plan, our targets continue to be funds from operations coverage of interest of greater than or equal to 3.6 times. Funds from operations as a percentage of debt and a low 20% range and debt to total capital in the low 50% range. In order to support these targets, we have plans to issue equity of $200 million to $250 million this year and approximately $800 million in each of the following two years. All the equity issued in 2008 will be through our dividend re-investment and direct stock purchase programs. We have not included any equity from the potential conversion of our convertible bond issue, since it does not result in any additional cash. The equity we plan to issue in ’09 and ‘010 will be through a combination of these programs and a series of small public market equity issuances timed in accordance with our needs for growth capital, and are expected to follow regulatory approvals for specific projects where applicable. Of course, we will also be tapping the debt markets as well this year. Our scheduled debt maturities totaled $1.5 billion. As Tom Chewning noted, one part of our plan to reduce debt has been delayed. And that is the application of proceeds from the LDC divestitures to paying down debt. We still plan to apply proceeds from the ultimate sales reduced debt, but we will simply carry higher short term debt balances in the interim. Currently, we have borrowed $1 billion under one of our credit facilities to bridge us to the sale. You can assume that incremental interest expense from this additional borrowing will be offset from earnings from these assets held per sale. Additionally we have plenty of capacity to issue incremental harbor securities, while the rating agencies are generally comfortable giving equity credit for these securities as long as they don’t exceed 15% of total capitalization. We currently have $800 million outstanding or 3% of our total capital. While we have no plans to come anywhere close to the 15% threshold we would be interested in tapping this market for another $500 million to $1 billion over this three year plan if the hybrid markets return to more normal pricing levels. That concludes treasuries update. Tom?
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Thanks Scott. Today, we provided you in our guidance kit, a great deal of clarity about our 2008 business drivers. This information should enable you to better evaluate the profitability of our businesses from an understanding of a relative contribution of the business lines within our operating segments. Also, we have enough confidence in our earnings drivers to introduce an initial 2009 operating earnings forecast range of $3.25 to $3.40 per share. This growth in earnings, combined with an anticipated 11% increase in our dividend rate for 2009, should result in a total return to shareholders that reflects the value of our new business profile. Drivers expected to positively affect our outlook, compared to 2008 include income from allowed return on equity for generation construction projects in Virginia. Higher contributions from our gas transmission and storage businesses highlighted by a full year of expanded Cove Point facility and one fewer planned refueling outage at Millstone. The benefits of these drivers will be partially offset by lower royalty interests natural gas production and increased interest expenses and dilution from new equity issue to support our earnings growth. Keep in mind that beginning in 2009 we will be entitled to recover cash coverage of financing cost and the allowed return on equity, of qualified construction projects in Virginia. On page 45 of our guidance kit, we have added an exhibit that illustrates how an investment in a project such as the Virginia City Hybrid Energy Center will translate to additional earnings and cash flow. That concludes their prepared remarks. Lindsey we are ready for questions. Question and Answer
Operator: [Operator Instructions]. Our first question comes from Dan Eggers with Credit Suisse. Please go ahead.
Daniel Eggers - Credit Suisse: Hi good morning.
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Hey Dan.
Daniel Eggers - Credit Suisse: Hey, first of all thanks for all the great detail, this is a tremendous amount of stuff to wade through. Tom, I wondered, just kind of pick your brain a little bit, the thought process by going ahead and re-looking to sell the LDCs, and kind of given the pretty dramatic change in company profile in Dominion today versus what it was when you guys first made that decision.
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Dan, this is Tom Farrell. The reason why we decided to sell the LDCs in the first place has not changed. And that is that they were not going to add to our return on… increase our return on invested capital and approve it or at least to keep it even. We didn’t see any prospect of that changing over the long term. They are very good assets, and we expect to get good competition for them in the auction. But the original basis for selling them has not changed.
Daniel Eggers - Credit Suisse: You made comments also, looking out as far as the April capacity auction here next week. What is your thought process as far as risk to the market of a demand response kind not delivering on commitments? And how do you guys strategize as far as committing your assets, given what seems to be a pretty reasonable concern.
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: I will let Mark answer that in detail, but we think it is highly unlikely that the promises being made will be delivered. And that’s going to lead to probably, much higher energy prices than people are expecting in New England, in 2010 and ‘011, but I will give the details to you and Mark on how we are planning on handling all that.
Mark F. McGettrick - Executive Vice President, Dominion Generation: Yes, Dan the capacity option is based on public information that’s out there. They are projecting peaks of 32,000 megawatts to 33,000 megawatts in this auction period, and the demand side resources that have been put forth are in excess of 3,000 megawatts right now, most of which don’t exist today and have to be put in place for the next two years. So, that is going to set a floor, we believe that is going to be fairly low and it is going to inhibit new generation from being built in the Northeast which we think gives us, considerably more value for the assets that we have. The challenge for us is going to be, how do we decide to hedge 2010 and beyond and we are currently looking at our options on that, because we really believe that if the demand side doesn’t show up, the first place you are going to see it is in a much higher energy price until the market can correct with additional capacity.
Daniel Eggers - Credit Suisse: So, should we take from that, that it is… you are probably going lay off on the… the 1011 hedges for a while then?
Scott Hetzer - Senior Vice President and Treasurer: But we want to see the final results from the auction, but as you can see from some of the scores we have, we are not significantly hedged right now in ’10 and I think we will be more cautious than usual in the Northeast pending the results of the auction.
Daniel Eggers - Credit Suisse: Okay. And I guess what have you. Can you just talk a little bit about the coal hedging strategy, both in New England and in Virginia, and what you are seeing from a pricing and an availability perspective today?
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Okay. We will start with Virginia. We have always averaged in Virginia. We have met with our regulators and gone over that strategy but that hasn’t changed significantly over the years. We tried to go fairly long on contract particularly at fairly isolated locations like our Mount Storm facility. We are seeing increases in our coal prices for Virginia. As more coal continues to go overseas from Central Ap which is the main area we buy for Virginia. We have done some pretty significant things in Virginia to help hedge as well. We have built an import facility at our Chesapeake Energy Center where we can now take foreign coal out there as well as domestic coal, we have real access. So, we have good balance there and again we average in. If you look at the Northeast, we have essentially locked most of our coal in for the next two years in the Northeast. We are buying international coal and we are also buying Central Ap coal. One good thing for us there is we are putting on two scrubbers that will be operational here at the end of this quarter, early next quarter at Brayton, which gives us additional flexibility. We have also locked in long term transportation contracts, well beyond this period and we also have throughput contracts through the Turner One, Virginia which gives us international and domestic capability there. So I think on the grade point side based on international pricing which has gone up significantly lately. We will probably going to sit tight for a while, but that’s why we went fairly long to next two years to prepare for a potential uptick like that.
Daniel Eggers - Credit Suisse: Got it. Thank you.
Operator: Thank you for your questions, Mr. Eggers. [Operator Instructions]. Our next question comes from Jonathan Arnold with Merrill Lynch. Sir please go ahead.
Jonathan Arnold - Merrill Lynch: Good morning.
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Good morning Jon.
Jonathan Arnold - Merrill Lynch: A quick question in terms of your assumptions on 2009 what have you assumed if anything in terms of timing of new rates in Virginia, is that more a 2010 event or is partial year impact, one way or another in ’09?
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Jonathan, we expect any rate adjustments to come into play late in 2009, it’ll be mostly a 2010 event.
Jonathan Arnold - Merrill Lynch: So there is really nothing in this guidance for that shift?
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: No, we have made assumptions about where we expect the rate review to come out, which is we don’t expect any significant change in our revenue requirements in Virginia, in ’09 or going into 2010. We need to recall that the regulatory regime does call for a base rate review and which we believe will be, receive very fair and equitable treatment as we have always had in Virginia. And at the same time it’s a forward-looking though not a test year, you look forward into 2010, so that you reduce the regulatory lag. So all the costs we are anticipating into 2010 will be taken into account. Our capital expenditures will be taken into account and then you have the riders that will be coming into play at the Virginia City Hybrid Energy Center, in the other aspects that we… have been talking about earlier this morning. The transmission lines, the peakers and North Anna will probably be in play by that time.
Jonathan Arnold - Merrill Lynch: And as a follow-up to that, have you, and if you they were to end up pushing you towards an ROE similar to the staff recommendation in the Virginia City case. Would you still be talking about the numbers in the range, which you published today?
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Jon, I only useful to speculate on something like that the staff has taken its position, we have taken our position and we will see how that comes out.
Jonathan Arnold - Merrill Lynch: Okay. Could I just have one final thing, did, do you have a sense of what the4 Dominion Virginia Power in full jurisdictional earnings including generation, would have been in 2007 or some kind of sense earned ROE in ’07?
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: No.
Jonathan Arnold - Merrill Lynch: Okay. Thank you.
Operator: We thank you for your question sir. Our next question comes from Daniele Seitz of Dahlman Rose. Ma'am please go ahead.
Daniele Seitz - Dahlman Rose & Co.: Thank you. I say its more of a general question, your, the coal plants that you are planning. Could you remind us of the timing of, when you are supposed to be starting construction and also what you see costs per kilowatt for the plant?
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Daniele the, we already had the public hearing on the plant. Last year the plant was found to be in the public interest by the State Corporation Commission, that was actually 2006, I guess. And the evidentiary hearing begins next Wednesday in Virginia, should take three or four days. We expect a decision from the State Corporation Commission in April, by April, and we are prepared to commence construction immediately. It’s a 585-megawatt plant.
Daniele Seitz - Dahlman Rose & Co.: Okay. And at this time roughly your cost per Kilowatt for the plant is roughly how much?
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: It’s about $3,000 a KW; our revised filing with the regulators estimated recorders cost this plan to be about $1.8 billion.
Daniele Seitz - Dahlman Rose & Co.: Great. Similarly if you are looking at the, at your nuclear plants and the timing has, when do you sense that you will be able to put a finger on the potential cost of that plant. Its obviously too early because of the uncertainty regarding the timing but could you let us know when this could happen?
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Danielle, we, we’ve been working with GE extensively on this and we would certainly hope that sometime in 2007 we will have significantly more cost information so we could move ahead. But that’s an ongoing process the one that we are working very hard with GE.
Daniele Seitz - Dahlman Rose & Co.: So, you sense that given the progress and also because of the sense that you may get this filed et cetera, that over the next 12 months or so you will have a better sense of that?
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: That’s certainly our goal.
Daniele Seitz - Dahlman Rose & Co.: Okay. Great thanks.
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Thank you.
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: Thank you Danielle.
Operator: Thank you for your question madam. [Operator Instructions]. Your next question comes from Carrie Saint Louis with Fidelity. Please go ahead.
Carrie Saint Louis - Fidelity: Hi, good morning.
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Hey Carrie.
Carrie Saint Louis - Fidelity: Just wanted to follow up on the financing, so I kind of went through the calculations on page 23 and I guess, I was coming up with cashless deficit, of about $1.3 billion, which potentially needed to be financed into that market.
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: Carrie, that’s a reasonable conclusion from what’s on page 23.
Carrie Saint Louis - Fidelity: Okay. Could you maybe talk about, with that, I guess you have a couple of a billion final maturities, and in some of the maturities are pollution control. I am just curious like how you are planning on attacking this and in the debt market in maybe a mix of taxable or tax exempt short-term, long-term financing it. It’s quite a large number.
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: Well, first off we talked about 200 to 250 of equity for the year.
Carrie Saint Louis - Fidelity: Okay. So that $1.3 billion, I calculated that was after that, but you are saying that it might be high.
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: No. I am saying that if you subtract the equity out you get the number that you was talking about is about $1.3 billion.
Carrie Saint Louis - Fidelity: Yes.
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: And then we are talking about long-term debt increasing during 2008 by about $200 million. So new issuances exceeding the maturities by that $200 million,
Carrie Saint Louis - Fidelity: Okay.
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: We also, I mentioned the potential use of hybrids to finance some of that where we would attempt to structure it so that we would get 50% equity credit.
Carrie Saint Louis - Fidelity: Right. But you also said that that’s going to depend on market conditions correct.
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: That is correct.
Carrie Saint Louis - Fidelity: Okay.
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: And then also short-term debt balances are lower than they normally would be.
Carrie Saint Louis - Fidelity: Okay.
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: And throughout the year we would expect to ramp them up to normal levels. The combination will take care of that financing.
Carrie Saint Louis - Fidelity: Okay. But for long-term debt, you are looking at about net increase of about $200 million.
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: That is correct.
Carrie Saint Louis - Fidelity: Okay. Thank you.
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: Thank you.
Operator: Thank you, for your question ma’am. Our next question comes from Sam Brothwell with Wachovia. Please go ahead.
Sam Brothwell - Wachovia Capital Markets: Hi, good morning.
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer:
Hey Sam,:
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: Good morning, Sam
Sam Brothwell - Wachovia Capital Markets: Two quick questions, can you update us on, has there been any further developments legislatively vis-à-vis the Virginian restructuring law? And two strategically, going forward with your acreage in Appalachia we have seen a lot of the companies that we cover our ramping up their efforts targeting sales and so forth. Are you still going to kind of lay low on that or do you see your selves accelerating your efforts there, going forward.
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Sam I will answer the first question. Paul Koonce will talk to you about the Marcellies share. There is one, I assume you are wondering about the bill that was proposed by senator Reynolds.
Sam Brothwell - Wachovia Capital Markets: That’s right.
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Which would basically undo everything that was done last year. The committee that oversees all electric utility bills, it’s a combination the house of delegate’s members and senate members, actually met earlier this week and voted unanimously to recommend against that bill being accepted. It will be going to a senate committee probably next week. It could be the week after, because that’s, and that would be the last opportunity. So, it has been aired in front of the panel that was appointed by the legislature to be expert on these issues, and they voted unanimously to recommend against the bill being adopted. Now with that I will turn it over to Paul Koonce to talk about Appalachia.
Paul D. Koonce - Chief Executive Officer, Transmission: Sam, good morning. Just a couple of comments on unconventional programs in general. We have got about 1.6 million conventional acres. Now we have been since late 2006 and all of 2007. Looking at that acreage positioned us to see what’s the upset of that might be suitable for Marcellus development. We think the acreage position that we have imbedded within the 1.6 million is about 200 to 800,000 potential acre. We have drilled about 12 Marcellus shale wells throughout 2007. We are part of a 22 company consortium to look at those well stratographic tasting to see which ones are suitable for commercial production. So, in that vein we are very much in lock step with all of our peers in the basin and pursuing that opportunity. On coal bed methane over the last 18 months we have acquired about 300,000 coal bed methane acres, and we have drilled about 22 horizontal coal bed methane wells, either ourselves or with others. And throughout 2008 we will continue to examine that as well as Marcellus shale, for future developments in 2009 and beyond. But again on the coal bed methane side, least as I analyzed, that we are lockstep with others in the basin and in that unconventional program as well.
Sam Brothwell - Wachovia Capital Markets: Okay. Thanks very much.
Paul D. Koonce - Chief Executive Officer, Transmission: Thanks Sam.
Operator: Thank you, for your question sir. Our next question comes from Hugh Wynne with Sanford Bernstein. Please go ahead.
Hugh Wynne - Sanford Bernstein: Good morning. Just a quick question regarding the quarter’s results. I am looking at page 15 of the earnings release kit. And my first question relates to the 17% year-over-year increase in operations and maintenance expense, which in the fourth quarter was attenuated significantly. You had a decline year-over-year in the fourth quarter. My general question is, what is your expectation regarding the rate of increase in O&M expense in the years ahead, particularly in light of the inflationary pressures we have seen in the sector in recent years?
Joseph O’Hare - Director, Investor Relations: Hugh. This is Joe. Regarding the growth in O&M, I mean you would not expect… we don’t expect anything other than normal inflationary pressures. The presentation of O&M in those schedules can be misleading, because of how certain elements are classified. In our supplemental disclosure in the guidance kit we are actually taking… kind of directing you towards a margin orientation. And there was an anomaly in the comparative results that you are looking at, that actually is going to be self correcting as we report first quarter 2008 and beyond and those are similar to the… I guess the anomalies we discussed on past quarters.
Hugh Wynne - Sanford Bernstein: And in other words this is the hedging or?
Joseph O’Hare - Director, Investor Relations: Yes.
Hugh Wynne - Sanford Bernstein: Okay. Now other energy related commodity purchases declined by 75%. What does that reflect?
Joseph O’Hare - Director, Investor Relations: Hugh… again on the… regarding these line items, these are detailed accounting type questions, that are going to be covered in the 10-K when we file that, but when we talk to you later this afternoon we would be happy to try to investigate the answer to that, but we are not prepared to answer that right now. I am sorry.
Hugh Wynne - Sanford Bernstein: Okay.
Joseph O’Hare - Director, Investor Relations: And unless that… Gettrick is… but he might be.
Mark F. McGettrick - Executive Vice President, Dominion Generation: Yes. Hugh, were you talking about page 20?
Hugh Wynne - Sanford Bernstein: I am looking at page 15, operating results, year-over-year, other industry related commodity purchases have declined by 75%, saving you guys something like $750 million.
Mark F. McGettrick - Executive Vice President, Dominion Generation: Yes. Hugh, all part is I want to just… I go and maybe what’s going on there but again you have what is individual line items as Joe said, you can have distortions just in the way of the accounting, requires you to categorize things, but one big item there was in 2006, the way that we accounted for the buy sell range which was in the Gulf of Mexico was really caused that bid. A big swing in the other energy related commodity purchases. And the other thing is, we have been accounting for the coal trading contracts through that line item, and that has declined significantly this year versus last year, and all of this has offset in the revenue line. So it doesn’t have a bottom line impact, and that’s why really particularly with the guidance we are really pushing people to… rather than focusing on the individual line items, we had these kind of weird distortions, focus on bottom line margins, EBIT, et cetera.
Hugh Wynne - Sanford Bernstein: Okay and then just one quick here about the forecast. What is your expectation of the Dominion Virginia Power’s regulated equity going into the 2009 rate case?
Scott Hetzer - Senior Vice President and Treasurer: Well, you mean the actual amount?
Hugh Wynne - Sanford Bernstein: Yes.
Mark F. McGettrick - Executive Vice President, Dominion Generation: Where it’s... Look 50-50 basis.
Hugh Wynne - Sanford Bernstein: No. I know but I was just wondering if you have either the rate base estimate or the equity estimate for 2009?
Mark F. McGettrick - Executive Vice President, Dominion Generation: Not off the top of top of our heads but we can get it for you.
Hugh Wynne - Sanford Bernstein: All right. Thank you. I will call back then.
Operator: Okay. Thank you for your questions sir and the next question comes from Ryan Wrighton [ph] with Barrel Hanley. Please go ahead.
Unidentified Analyst: Good morning. My question is for Tom Farrell. Tom, there have been a number of conflicting reports I guess regarding your view of a potential NOP on pipeline and storage assets. Can you update us now in 2008 how you are looking at that going forward? Thank you.
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Thank you. We have been watching carefully the MLP market and the political atmosphere in Washington around tax advantaged structures like this. There was a lot of noise around it in Washington last year, it seems to have settled down. We are interested in watching what happens in the selection cycle because tax advantage structures sometimes don’t survive in Washington. This one seems to be doing pretty well, though at least so far. We recognize the financial benefits that MLPs can bring. So, we are taking a very interested wait and see attitude, we do have a team internally looking at MLP structures but I wouldn’t anticipate anything in the near term on that.
Operator: Okay. Thank you for your question, sir. Our next question comes from Steve Fleishman with Catapult Capital. Please go ahead sir.
Steve Fleishman - Catapult Capital: Yes. Hi everyone.
Thomas F. Farrell II, - Chairman, President, and Chief Executive Officer: Hi Steve.
Steve Fleishman - Catapult Capital: Just a little bit of a detailed question on the merchant and particularly the NEPOOL assets . If you look at the just the difference in the price of hedging ’08 versus ’07, it would look like your NEPOOL assets should be up of course to $300 million, between mid -60’s price and the mid-70s price but they are up $160 million to $185 million. Is that just volume difference you mentioned, and could you just reiterate again some of the outage data that Mark maybe went through Millstone in the call?
Mark F. McGettrick - Executive Vice President, Dominion Generation: Sure Steve. A large piece is the outage information. We have an additional outage at Millstone that we didn’t have previously in the previous year. So, that is a huge driver for that.
Steve Fleishman - Catapult Capital: So, ’08 is a double outage year?
Mark F. McGettrick - Executive Vice President, Dominion Generation: ’08 is a double outage year. That’s right.
Steve Fleishman - Catapult Capital: Okay. And then ’09?
Mark F. McGettrick - Executive Vice President, Dominion Generation: ’09 will go back to a single outage year.
Steve Fleishman - Catapult Capital: Got you.
Mark F. McGettrick - Executive Vice President, Dominion Generation: And we also Steve are… have a couple of significant outages at Brayton Point where we have scrubber tie-ins, I and II which we are going to take this spring. So, I think the vast of majority of what you are referencing is those two items.
Steve Fleishman - Catapult Capital: Okay. Thank you.
Operator: Thank you for your questions sir. Ladies and gentlemen, we have reached the end of our allotted time. Mr. Chewning, do you have any closing remarks?
Thomas N. Chewning - Chief Financial Officer and Executive Vice President: Yes, Lindsay. Thank you. Just a reminder that our Form 10-K will be filed with the SEC on or about February 29 and our first quarter earnings release is scheduled for May 1 of this year. I would like to thank everyone for joining us this morning and we wish you a safe rest of the winter. Good day.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your lines at this time and please have a wonderful day.